Operator: Good morning, everyone, and welcome to the Marcus Corporation Second Quarter Earnings Conference call. My name is Angela and I will be your operator for today. At this time all participants are in a listen-only mode. We will conduct a question and answer session towards the end of this conference. (Operator instructions) As a reminder this conference is being recorded. Joining us today are Greg Marcus, President and Chief Executive Officer; and Doug Neis, Chief Financial Officer of The Marcus Corporation. At this time, I would like to turn the program over to Mr. Neis for his opening remarks. Please go ahead, sir.
Doug Neis: Thank you very much. This is Doug Neis, and welcome all of you to our fiscal 2012 second quarter conference call. As usual, I need to begin by stating that we plan on making a number of forward-looking statements on our call today. Forward-looking statements could include, but not be limited to statements about our future revenues and earnings expectations, our future RevPAR, occupancy rates, and room rate expectations for our hotels and resorts division, our expectations about the quality, quantity and audience appeal of film products expected to be made available to us in the future, our expectations about the future trends in the business group and leisure travel industry and in our markets, expectations and plans regarding growth in the number and type of our properties and facilities, expectations regarding various non-operating line items on our earnings statement, and our expectations regarding future capital expenditures. Of course, our actual results could differ materially from those projected or suggested by our forward-looking statements. Factors, risks and uncertainties which could impact our ability to achieve our expectations are included in the Risk Factors section of our 10-K and 10-Q filings which could be obtained from the SEC or the company. We will also post all Regulation G disclosures when applicable on our website at www.marcuscorp.com. So with that behind us let's talk about our fiscal 2012 second quarter results. Certainly pleased to be reporting the positive trends in our Hotels and Resorts division again. They’d continued into our second quarter resulting in significant year-over-year improvement from that division. Meanwhile although our Theatre division is reporting a small decrease in operating income this quarter, we would have in fact reported an increase again if not for the one time accelerated depreciation on our old 35 mm projection systems that we reported this quarter, in conjunction with our digital cinema rollout. I am going to take you through some of the details behind the numbers and then I will turn the call over to Greg for his comments. As you can see there really wasn’t any significant variations in most of the other income and expense lines below operating income, other than another reduction in interest expense compared to the prior year. Our interest expense was down nearly $300,000 during our fiscal 2012 second quarter and is down nearly $600,000 year-to-date, compared to the prior year same period. It’s due primarily to reduced borrowings. And although our capital spending is starting to increase, it was relatively low during the first half of this fiscal year. As in the past, we will likely see our debt level rise in future periods as our capital spending program picks up. Now our total debt remains at historically low levels then our comparable debt to capitalization ratio at the end the quarter was 37%, down from 39% at our recent May year-end. And this lower debt-cap ratio is despite the fact that we repurchased approximately 560,000 shares of our common shares this year. Our effective income tax rate during the first half of fiscal 2012 was 38.6% compared to 38.3% last year, with both year’s second quarter rates benefiting from adjustments in our year-to-date assumptions. Our fiscal 2012 second quarter income tax expense benefitted by approximately $400,000 related to a recent settlement with the IRS on certain tax matters. I certainly expect our tax rate for the final two quarters of the year to be closure to our historical 39% to 40% range, pending any further changes in assumptions, lapses and statues of limitations or potential changes in federal or state income tax rates. Now speaking of our capital spending, our total capital expenditures including acquisitions during the first half of fiscal 2012, totaled approximately $17.3 million, compared to $15.8 million last year during the same period. The largest component of last year’s amount was an acquisition of a theatre in Appleton, Wisconsin. But this year approximately $5.8 million of the amount was incurred in our Hotel division, all of our which was primarily maintenance capital, with renovations at our Hotel Phillips and Hotel Madison properties representing the largest pieces. Theatre division capital expenditures of approximately $11.4 million included our upfront contribution to the digital cinema rollout, a lobby remodel at one theatre and expenditures related to the construction of our newest Zaffiro’s Pizzeria & Bar in St. Cloud, Minnesota, in addition to other normal maintenance capital. At the beginning of this fiscal year we estimated that our capital expenditures for fiscal 2012 could total in the $50 million to $90 million range, recognizing that as we put it on our 10-K filing, the timing of several of our planned expenditures including those related to the corners retail projects, were just estimates at that time. The estimate also included a certain level of potential unidentified growth projects. For example, we didn’t know that we would be purchasing a theatre in Franklin, Wisconsin out of receivership. But we set aside dollars for opportunities like that in both of our divisions. And while several of these types of expenditures still could arise in the remaining six months of our current year, I am going to tighten up the range a little bit here and tell you that my current assumption is that our estimated fiscal 2012 capital expenditures may more likely end up in the $45 million to $75 million range. Which would still be an increase compared to the last few fiscal years. The single biggest variable in this range continues to be the corners project. If you recall, we identified approximately $20 million of potential fiscal 2012 expenditures related to this project. At this point we still don’t know whether those expenditures will occur this year or will carry over into our fiscal 2013. Although the likelihood of those dollars moving in the next year is increasing. Greg will provide some additional commentary on our progress in this project shortly. Now the actual timing of the various projects currently underway or proposed will certainly impact our final capital expenditure number as well any currently unidentified projects that could develop during our fiscal year. So now I would like to provide some additional financial comments on our operations for the second quarter and first half beginning with theatres. Our box office revenues decreased 6.4% during the second quarter, but our concession and food and beverage revenues were up by 0.2%. Year-to-date box office revenues were still up 0.7% compared to last year and our concession revenues were up a significant 12%. The second quarter box office decrease is attributable to a decrease in attendance at our comparable theatres of 6.5%. Year-to-date comparable theatre attendance is down 1.1% due to the weaker film slate during the second quarter. Our average admission price actually decreased by 0.4% for the quarter, but has increased by 0.5% year-to-date. Two of our top three pictures last year during the second quarter were presented in 3D, compared to one this year, likely contributing to the small decrease in our average admission price. Conversely, our average concessions in food and beverage revenues per person in our theatre division, increased by 12% compared to the same quarter last year, and has increased by 11.8% for the first half of the year compared to last year. Pricing, concession product mix and film product mix, are the three primary factors that impacted our concession sales per person. Selected price increases, a change during the second half of our last fiscal year from sales tax inclusive pricing to sales tax added pricing, an operational change to more grab and go candy offerings, and a change in concession product mix including increased sales of higher priced non-traditional food and beverage items in our theatres, all contributed to our increased concessions sales per person during the second quarter and first half of the year. Our year-to-date operating margins from this division have increased to 19.4% compared to 18.4% last year, and as our press release points out, our operating income and margin would have been even better this year, both for the quarter and year-to-date if not for over $800,000 of accelerated depreciation we reported this quarter, and $1.4 million in total that we reported for the first half of the year, related to 35 mm film projections systems that were replaced in conjunction with our previously announced digital cinema deployment. Now shifting to our Hotels and Resorts division. As we noted in our release, our overall hotel revenues were up 9.4%, and our total RevPAR was up the same 9.4% during the quarter compared to the same period last year. Year-to-date our RevPAR is now running 9.6% higher than it was last year at this time. As we have noted in the past, our RevPAR performance did vary by market and type of property, but all eight company owned properties reported increased RevPAR, both for the second quarter and for the year-to-date. According to data received from Smith Travel Research and compiled by us in order to match our fiscal year, comparable upper upscale hotels throughout the United States an increase in RevPAR of 6.2% during our fiscal 2012 second quarter and 6.1% during our fiscal 2012 first half. So we have again, once again outperformed the national average. Our fiscal 2012 second quarter overall RevPAR	 increase was a result of an overall occupancy rate increase of 2.6 percentage points, and an average daily rate increase of 5.7%. For the first half of fiscal 2012, our occupancy rate is now running approximately 2.7 percentage points ahead of last year and our average daily rate has increased by 6%. With that, I will now turn the call over to Greg.
Greg Marcus: Thanks Doug. I will begin my remarks today with our Theatre division. After a record first quarter from this division, our second quarter results did not quite match last year. But we are still quite pleased with where we are halfway through this fiscal year. In fact, if not for the $1.4 million of accelerated depreciation described earlier, our operating income would be over $3 million or approximately 17% higher than where we were in this division last year at the same point. When all is said and done, this year’s second quarter film product, while not bad by any means, was probably one good film or so away from matching up with last year. The fact that we did not have quite as much depth of the film slate this time around is evidenced by noting that we had only seven films that produced at least $1 million of box office proceeds for our circuit during our second quarter, compared to eight films that reached that mark last year. That second tier of films can make the difference between the record revenues we reported during the first quarter and a good but not great quarter like we are reporting during our second quarter. I will tell you, while there weren’t necessarily any onetime -- while there wasn’t necessarily any one time period during the quarter where most of our box office decline occurred, October was the month that most underperformed. And even more specifically, our worse single week from a comparison perspective was the week that Jackass 3D was released last year. And I would like to note that it’s important just to know Doug put that into my section of the remarks, and somehow got me to say the name of that movie. Thanks, Doug. It certainly is too early to tell how the holiday and early winter film season will perform, but on paper the product looks promising. We had a couple of films that opened near the end our second quarter, including The Twilight sequel and The Muppets. They have carried over nicely into our third quarter, but Harry Potter and Tangled also carried over well last year during the same time period. So that has been essentially a push. The season really starts for us tonight and tomorrow when Mission Impossible opens up exclusively on our UltraScreens and other large format screens across the country, and the next Sherlock Holmes and Alvin & the Chipmunks sequel opens up nationally. Mission Impossible goes to wide release the following week, and five additional pictures open up between now and Christmas Day. We have listed several of those titles in our release as well. We are hoping for good weather, particularly during the busiest movie going week of the year, the week between Christmas and New Year. Speaking of those holidays, I will point out that the calendar is not particularly helpful this year. As Christmas Eve and New Year’s Eve both fall on a Saturday which is traditionally our highest grossing day of the week. Christmas Eve is the one night of the year that we close our theatres, so that may impact us slightly. Shifting away from the movies, it is evident by our numbers that the real story of our second quarter and year so far has been our ability to increase our average concession food and beverage revenues per person by approximately 12% during both periods. Doug went over some of the contributing factors to this outstanding performance, and we continued to execute on several of the strategies we have previously outlined in our effort to expand, both our traditional and non-traditional food and beverage offerings in our theatres. As our press release notes, construction continues on our second full service Zaffiro’s Pizzeria & Bar, this time in conjunction with a major renovation of our Parkwood Cinema in a suburb of St. Cloud, Minnesota. And we recently broke ground on our third Zaffiro’s location at the Ridge Cinema in New Berlin, Wisconsin. We don’t necessarily expect to report double-digit increases in our concessions per capitas every quarter. But this is an area of emphasis for us and I am pleased with our results. I also want to commend our operating team on our system wide rollout of digital cinema. Once we have made the decision to move ahead with digital, we wanted to deploy as rapidly as possible and in a matter of roughly 45 days. Our digital cinema team and vendor partners deployed the state of the art technology in over 90% of our screens, further contributing to our reputation as a leader in our industry. And finally, as our release indicated, yesterday we purchased a 12 screen theatre in Franklin, Wisconsin out of receivership. The second individual theatre we were able to acquire over the last 15 months. We will continue to look for further opportunities to expand our successful theatre circuit in the future. With that, let's move on to our other division, Hotels and Resorts. You have seen the segment numbers and Doug gave you some additional detail. Certainly we were very pleased with yet another quarter of significant year-over-year improvement. And as Doug shared with you, it is gratifying to see us continue to outperform the industry during this recovery. Particularly encouraging, in the detail behind our numbers, was the fact that we reported an overall increase in our average daily rate of nearly 6% again this quarter. Our fourth straight quarter of increased ADR and second straight in the 6% range. Seven of our eight owned properties reported an increase in rate this quarter compared to the same quarter last year. That is not to say that we aren’t still experiencing pressure on our rates in this current environment. Our fiscal 2012 second quarter and first half ADR is still over 7.5% lower than it was during the same time period in our pre-recession fiscal 2008. An indication that there is still room for improvement. It is interesting to know however, that our fiscal 2012 second quarter and first half RevPAR is only less than 1% lower than our pre-recession fiscal 2008 performance, thanks to approximately 8 additional points of occupancy this year compared to the comparable year-to-date results from fiscal 2008. In fact, our combined occupancy for our eight owned hotels has never been higher and that same dynamic is occurring nationally as well. Our team did a nice job this quarter of maximizing our flow-through as we converted approximately 44% of our increased division revenue this quarter to our operating income. Our overall operating margin increased this quarter from 7.2% during last year’s second quarter to 10.4% this year and year-to-date. We also have gained nearly 3 points in our margin, increasing from 11.4% to 14%. The story behind these improved results remains the same, the resurgence of business travelers leading the way. All three primarily sub-segments of this customer, the individual business traveler, corporate volume customer and even group business, continues to show improvement over the prior year. The advance booking pace for group continues to be good, but as group business levels get closer to pre-recessionary levels, we will likely see that pace plateau at some point. And so while we continue to see opportunities for occupancy growth, the emphasis continues to be on gradually increasing our average daily rate. For the first time in several years, as we negotiate our corporate volume agreements for the next year, we are finding some receptivity to modest price increases. And we have been able to continue to decrease our reliance on the various internet distribution channels, contributing to our improved average rate. We will need more of the same over the next year or two in order to get back -- to get our rates back to prior levels. One of the factors that allows us to avoid the deep discounting that some of our competitors have restored to at various times is that fact that our hotels are generally the highest rated properties in their respective markets. We focus on our overall value proposition versus just price. And I believe that has contributed to our ability to outperform the market. Looking ahead, we continue to be generally optimistic about the future, and that optimism comes in part by our belief that companies learned their lesson from prior tough economic times, then made a conscious effort to keep their people on the road selling their product, whatever that maybe. In the near term, our fiscal third quarter is historically our weakest quarter due to our large mid-western hotel presence. In fact this division has always reported a loss during the quarter, but we do hope to report continued year-over-year improvement during the remainder in the fiscal year, assuming no major disruption or changes in the economic environment. Finally, as you know, we also continue to look for opportunities to grow our hotel business through a variety of different ways. Our hotel division continues to seek additional management contracts and has the ability to make minority investments in projects when the opportunity arises. Bill Reynolds, has hit the ground running as Senior Managing Director of our newly formed investment business MCS Capital. And he is exploring additional opportunities that could provide long term value to The Marcus Corporation. We don’t have a time-table that might force us to do something that doesn’t make long term sense, we remain patient investors and we believe value added opportunities will become available in this industry. And as I wrap up our prepared comments, let me briefly touch on two corporate related topics. As our press release indicated, we purchased another 119,000 shares during the quarter pursuant to an existing Board authorization, bringing our purchased total to 561,000 year-to-date. You can see the result of this on our earnings statement, as our net earnings increased 35.5% during the quarter but our earnings per share increased 42.9%. And while we still have plenty of room to consider growth opportunities in both of our business with a debt to capitalization ratio well under 40%, approximately $117 million revolving credit availability as of quarter end, and $150 million in universal shelf registration statement on file and effective with the SEC. We have the flexibility to explore and follow through our potential growth and value creation opportunities that may arise during the month and years ahead. We will continue to manage our balance sheet very carefully in the future. But we are committed to executing the strategy as necessary to provide value to our shareholders over the long term. I also want to give you a brief update on the The Corners of Brookfield, our proposed open air fashion mall project anchored by one of the most sought after department stores in the Midwest Von Maur. As I have said in the past, there are many pieces to this puzzle, and we continue to make progress on each of these pieces. For example, the design elements have really come together and I am confident that our discussions with the local community will result in a mutually beneficial public private partnership for the development of this important gateway location for the region. The majority of our current focus is on leasing up the over 200,000 square feet of retail space that will surround the Von Maur department store. I am pleased to report that the response to this project from potential tenants has been very encouraging. Approximately 70% of the retail space is currently in play with specific tenants, and of those tenants approximately half of them are in letter of intent negotiations at this time. This is great progress, but the risk of being repetitive -- let me reiterate, that we will build this center until its future success is assured. As Doug noted, there is certainly still is the chance that everything will come together and allow us to begin construction in the spring, but Von Maur has gone on record as indicating that they only will open a new store in the fall of a given year. Thus, if it takes longer to get to our desired lease up level and we can't begin construction this spring, then so be it. Our expected expenditure as we push into the following fiscal year and the project will likely open in the fall of 2014 rather in the fall of 2013. Again, we are patient. We will be prepared for either scenario. With that, at this time Doug and I will be happy to open the call up for any questions you may have.
Operator: (Operator Instructions) Your first question will come from the line of Mr. David Loeb with Baird. Please proceed.
David Loeb: Good morning, gentlemen. I wanted to ask you first about corporate. Corporate expense is usually a bit higher in the first quarter then the second quarter. This quarter was more like the first quarter. Does some of that have to do with management transition related issues or is there something else, is this a better run rate going forward. Can you just give us a little more color?
Doug Neis: Yeah, you know what, it’s kind of all of the above. There’s several things there, there are some expenditures that we have chosen to conservatively expense related to the Corners project. Legal costs and some things along those lines. So that’s an unusual item that’s keeping that number a little higher. We are absorbing the cost associated with the MCS Capital and everything associated with that, right now. So that’s also driving some of that as well. And certainly there will be some transition costs as well involved in that, so.
David Loeb: So looking ahead, is the $3.5 million level, is that a better run rate then kind of the more like 2.8 or so?
Doug Neis: Again, I wouldn’t call it, the number that’s in there currently as the run rate, because certainly there are some -- again, the timing of some of these expenditures at the Corners is distorting that. So I would not -- I would suggest the run rate will be a little less then what we are currently looking at.
David Loeb: Okay. That makes perfect sense. Can you give us a little update on the MCS Capital kind of where do you see that playing out and kind of what are the early thoughts. I know that’s another business where patience is required but what do you think about the direction that’s heading in, where do you think that will go?
Greg Marcus: You are right on, David. Patience is required. We are being -- we are making headway -- we are seeing -- the pipeline starts to get, start to see things fill into it. Whether that actualizes, I don’t know. But I like what we are seeing. But it’s going to take time. I think we have seen the transaction levels drop of nationally with the lease currency going away. And it’s just we are being picky and but we are looking around and as I said, I like what I am seeing but I can't’ or I don’t even there can tell you the way to do it at this second.
David Loeb: Great. Okay. One last one on the hotel business. This was clearly a very good quarter, I guess I am trying to understand if it was an exceptionally good quarter, how much do you think the Brewers playoff performance helped in this quarter. Was it material or do you think it was really just a hundred or a couple of hundred thousand dollars.
Greg Marcus: I would tell you that it was not material and in fact there were some times when we were trying to -- we were actually hoping for certain games to go certain ways because we were actually relatively busy in the market. And we are trying to figure out where everybody was going to go. So I don’t think it was material. I couldn’t tell you the exact numbers but I...
David Loeb: So there really is a testament to the strength of your markets and really it’s more about what you are doing at the hotel level and the markets rather than any kind of exogenous events like that.
Greg Marcus: Yeah, I think that what you’re saying is -- it’s maybe investment driven, you know all the investments that we made when things were really -- when things were really challenging. I think we are seeing some of that payoff. I think that the shift in mix from OX ADR, is you are starting to see that payoff and help. So it seems to be a number of factors coming together.
Operator: (Operator Instructions) Your next question comes from the line of Greg Macosko with Lord Abbett. Please proceed.
Gregory Macosko: Hi, thanks. Good to talk. Yeah, just to talk a little bit about the, you’re talking about the pricing relative to the group business, that sounds -- you’re suggesting that it’s coming in better and people are willing to -- the group’s are willing to pay up a little more?
Greg Marcus: Yes. I mean it is -- I wouldn’t say that people are drunk with -- ready to revel and go nuts but it’s what we, I think it’s just a continuation of the measured improvement in the business that we have been seeing and as the patterns seems to be playing out relatively typically albeit on a measured -- again at a measured pace where you see -- I think we talked about this, we have been talking about it for a few years where occupancy comes first and then ADR should follow. And probably I think I would, probably, I would realize and say occupancy came faster than we thought and I don’t think ADRs coming in as fast as we would like.
Gregory Macosko: With regard to the group business, what's the forward look? Are you able to look out as far today as you were two or three years ago, in December and see what you have for the spring and summer?
Greg Marcus: No. But I can tell you it’s a little choppy. It’s not -- I can't tell you that we have great stuff coming. I know Milwaukee’s convention calendar which benefits us a fair amount is weak next year. But we have worked around that before and we go out and find smaller stuff to fill in when that’s a problem I can't tell you what's going to happen this year. But you are right, you are underlying point which is the booking windows are a lot shorter.
Gregory Macosko: So they are shorter then they have been historically is the point.
Greg Marcus: Yes.
Gregory Macosko: Okay. But you are also suggesting that you are able to work and not be as dependent upon the websites that basically sell rooms at the last minute for a lower price.
Greg Marcus: That will be a halleluiah. Yes.
Doug Neis: Again, You know, on different times of the year you make decisions, I mean we have guys who are making those decision on a daily and weekly basis in terms of how much inventory to provide to those sites and -- but, yes, overall we have been able to -- some of this shift and some of that 6% increase in ADR wasn’t that you just change the rates by 6%. It’s just they had mix change.
Gregory Macosko: Right. And the occupancy you are saying, it’s never been higher in your eight owned hotels. I mean do you feel as if kind of going forward that you have a better handle on that occupancy and sort of look at on an ongoing basis on a higher level.
Doug Neis: I am not sure I follow the question.
Gregory Macosko: Well, you are saying right now that occupancy has never been higher and yet we haven’t -- we are still not relative to the economy etcetera, we haven’t come back to that yet and yet you are at a good occupancy level. So I guess it’s a reflection of the properties that you have that you expect that -- do you expect that to kind of maintain at a higher level?
Greg Marcus: I can't make a prediction as to where it will be. I know that I would trade some rate for occupancy, honestly. I mean it’s just better on the margin. Better, so the properties don’t get beat up so much when you do that as you know.
Gregory Macosko: Okay. And then with....
Doug Neis: And Greg, I would just add that while we are overall outperforming in our markets in national numbers, that particular trend is a national trend. I think I saw some statistic recently like 18 of the top 20 markets are all have, like some of the highest rooms sold ever right now. So it’s just that is a dynamic that’s being played out nationally.
Gregory Macosko: Good, good. And then with regard to the theatre. Just talk a little bit about the restaurants that you have been working and you were reasonably optimistic last quarter or you talked about that. And I didn’t hear any comments there. Give us a, sort of an update on that.
Greg Marcus: Look we continue to -- I don’t think any of the -- the truth is at the end of the day right now, nothing that we are doing is material to the bottom line of the business, I don’t think. But we keep refining the process, we like the Zaffiro’s concept. We like what it imbues on a complex itself and people love the product. And we continue to refine what we are doing. The nice about -- and this is a mix of things that we do -- we can do in-theatre dining as good but you’re limited to what movie is playing in a theatre, when you do a standalone restaurant, the restaurant can serve everybody in the theatre, and that’s very nice. The challenge is typically the theatre locations are not always necessarily great restaurant locations. In night time they are very good. I mean one of the things we see is we can't put more people in the restaurant at dinner time. I mean we turn the thing a number of times and its jammed to the gills. It’s tougher on the, to build -- the true path, I think to profitability, and good profitability for these, will be building out the shoulder period on them. But it’s hard. You know like lunch time in a theatre complex is sort of an empty parking lot. So it’s not as inviting. But we continue to just work on the -- work on it and as I said we believe in the products sincerely and people love the product. That’s a great place to start.
Gregory Macosko: With regard to the CapEx budget which you brought down just a little bit, is there any for the Franklin acquisition there? You have CapEx for that in there?
Doug Neis: Yes. When I gave that 45 to 75 number, 45 to 70 number what I gave, it was a -- I have built into that the Franklin acquisition. It wasn’t in the $17 million that I had said we had spent for the first half of the year. But, yes, my estimate includes it.
Gregory Macosko: Okay. And finally, I know I have asked all other questions, but finally what do you pay on the 119,000 buyback?
Doug Neis: It was the low nines, Gregory. It was, I think, take my weighted average on all 560 now, it was like $8.70.
Gregory Macosko: And low nines, what you were referring--
Doug Neis: That last piece was in the low nine and a quarter, on average somewhere in that neck of the woods.
Operator: (Operator Instructions) Your next question will come from the line of Jonathan Pong with Robert W. Baird. Please proceed.
Jonathan Pong: Hi, good morning Greg, good morning, Doug. I just wanted to push a little bit deeper on the hotel section and focusing particularly on rate. I know you guys, in the second quarter rollout, you guys have highlighted occupancy rate as being very high. How aggressive have you guys been in pushing ADR this quarter. How do -- you vision being in pushing that in the following quarters?
Greg Marcus: You know I would tell you that we are being as aggressive as we can be. What we have to watch for and what sometimes we are seeing is that, when we push it too hard it just starts to drop off faster than we would like and then you start to lose your RevPAR. But we will get and push as hard as we can to shift the mix, get out of the OTA guys and work to fill you up with business that’s going to more profitable to us and in addition driving beverage. We look at all those factors. And on top of it -- and sometimes we weigh the factor in other direction which is what's going to be the overall spend, we may drop the rate to get somebody in the hotel who is going to eat in our restaurants and shop at our store, whatever we have got, it depends on the property.
Doug Neis: You know, I guess what I would add to it Jonathan is that if you start to bifurcate each of the customers segment, your negotiating that rate at different times. I mean some of them you are negotiating daily sort of with the transit traveler. But as we mentioned in our prepared remarks, this is the time of the year when we are out there negotiating our corporate volume business. RFPs and that number is set for a year at least. And so that was one of the comments we made is that may be the first time in two or three years, we are at least getting some ability to push that rate a little bit. And so -- but Greg used the word measured before and that’s the right word.
Jonathan Pong: Okay, and then guys, a little bit into market specific performance, RevPAR wise, maybe look at the urban properties like the Four Points in Chicago versus some in the secondary markets, how those are doing in comparison to each other?
Doug Neis: Yeah, you know, Jonathan, we just -- we only have the eight properties. We just refrain from getting too specific as that would in turn from a competitive perspective tell too much about any individual property. So in general as we mentioned, they are all up. Overall, we are up 9% and that range was -- boy, I don’t know, the lowest was, you know, probably in the mid-single digits, 5-6. And we certainly have several properties that were in double digit increases. And so, but we just don’t think that it’s appropriate for us to talk too specifically about individual properties.
Operator: Thank you. At time it appears there are no other questions. I would like to turn the call back over to Mr. Neis for any additional or closing comments.
Doug Neis: Thank you very much, everybody, for joining us today. We look forward to talking to you again, once again in March when we release our third quarter fiscal 2012 results. Thanks. And we wish you all a very Merry Christmas, Happy Hanukkah, and Happy New Year.
Operator: That concludes today’s call. You may disconnect your line at any time.